Operator: Good morning, ladies and gentlemen. Welcome to the Fulton Financial Third Quarter Results Conference Call. This call is being recorded. I would now like to turn it over to Senior Vice President, and Director of Corporate Development, Jason Weber. Please go ahead, sir.
Jason Weber: Thanks, Camille. Good morning. Thanks for joining us for Fulton Financial's conference call and webcast to discuss our earnings for the third quarter of 2016. Your host for today's conference call is Phil Wenger, Chairman, President and Chief Executive Officer of Fulton Financial Corporation. Joining Phil is Pat Barrett, Senior Executive Vice President and Chief Financial Officer. Our comments today will refer to the financial information and related slide presentation included with our earnings announcement, which we released at 4:30 pm yesterday afternoon. These documents can be found on our website at fulton.com by clicking on Investor Relations and then on News. The slides can also be found on the Presentations page under Investor Relations on our website. On this call, representatives of Fulton may make forward-looking statements with respect to Fulton's financial condition, results of operations and business. These forward-looking statements are not guarantees of future performance and are subject to risks, uncertainties, and other factors and actual results could differ materially. Please refer to the Safe Harbor statement on forward-looking statements in our earnings release and on Slide 2 of the presentation for additional information regarding these risks, uncertainties and other factors. Fulton undertakes no obligation, other than as required by law, to update or revise any forward-looking statements. In discussing Fulton's performance, representatives of Fulton may refer to certain non-GAAP financial measures. Please refer to the supplemental information included with Fulton's earnings announcement released yesterday and Slides 13 and 14 of the presentation for a reconciliation of those non-GAAP financial measures to the most comparable GAAP measures. Unless otherwise noted, quarterly comparisons are with the second quarter of 2016. Now I'd like to turn the call over to your host, Phil Wenger.
Phil Wenger: Thanks, Jason, and good morning everyone. Thank you for joining us. I have a few prepared remarks before our CFO, Pat Barrett shares details of our third quarter financial performance and discusses our 2016 outlook. When he concludes, we will open the phone line for questions. We reported diluted per share earnings of $0.24 for the third quarter, an increase of 4.3% linked quarter. Pre-provision net revenue increased approximately $5.5 million or 10.4% linked quarter and approximately $9.4 million or 19% year-over-year. Our return on assets was 0.89% and our return on tangible equity was 10.38% for the quarter. Overall, we were pleased with the third quarter results. Despite the challenging interest rate and operating environment, we were able to grow revenues and reduce expenses. As a result, we generated meaningful positive operating leverage. The loan portfolio increased 6.7% linked quarter annualized, driven by growth in our residential and commercial real estate portfolios. In addition our commercial leasing portfolio continues to be a nice growth story. The residential mortgage portfolio increased 6.6% linked quarter and 11.6% year-over-year. Over the last year, we made a strategic decision to retain certain jumbo mortgages, driving growth in the portfolio. The commercial mortgage portfolio increased 3.3% linked quarter and 9% year-over-year. Our growth was spread throughout our footprint, but primarily in our Pennsylvania and Maryland market. Our C&I loan portfolio decreased 1.8% linked quarter, but increased 2.4% year-over-year. C&I loan demand is typically softer in the third quarter and our line borrowings declined by $30 million, reflecting this seasonality. In addition, we had some criticized credits pay off in amount of $29 million creating downward pressure on C&I loan balances. While our markets remain highly competitive, commercial originations and the commercial pipeline remain stable. We continue to focus on our calling efforts and on adding talent. We remain optimistic that we can drive meaningful loan growth going forward. We continue to look for opportunities to add high performing talent throughout all of our revenue-producing areas. In the third quarter we hired a regional president for the Philadelphia market. Over the past year we have added commercial relationship managers throughout our footprint. We’ve also made several key additions in our SBA, commercial leasing and agricultural specialty lending areas, as well as in our mortgage banking company. We were able to keep our total headcount relatively stable during this time. We believe these additions will help drive growth in 2017 and beyond. Core deposits growth continued to be strong, increasing 4.9% linked quarter and 9% year-over-year. Linked quarter growth was driven primarily by seasonal in close of state and municipal deposits, while retail and commercial deposits were the primary drivers year-over-year. Credit conditions remain consistent with prior quarters despite an uptick in delinquencies and non-accrual loans. Non-accrual generation was approximately $34 million in the third quarter compared to approximately $19 million in the prior quarter. The uptick was related to a few relationships that experienced isolated events. We believe those are not indicative of broader portfolio or macro trends. Non-interest income had another strong quarter driven by our commercial loan interest rate swap business and mortgage banking income. Despite retaining more of our production over the last several quarters, mortgage banking continues to drive meaningful revenue growth. Our mortgage banking was $4.5 million in the third quarter, an increase of 16.2% linked quarter and 17.2% year-over-year. Mortgage originations increased 4% linked quarter and 33% year-over-year. Purchase originations represented 68% of total originations in the third quarter. However, applications in the quarter were split equally between refinance and purchase. The mortgage pipeline increased 3% linked quarter and 48% year-over-year and despite the fourth quarter historically being seasonally weak, early results in the fourth quarter suggest continued positive momentum in mortgage banking. Turning to expenses, in the third quarter we saw a linked quarter decline in non-interest expenses. The efficiency ratio was 65.2%. We continually look for ways to make our organization more efficient, to drive our efficiency ratio towards our goal of 60% to 65%. On capital front, we paid a quarterly common stock dividend of $0.10 and repurchased 176,000 shares of common stock in the quarter. We have approximately $31 million left in our current share repurchase plan authorization. Before I turn things over to Pat to discuss our financial performance, I would like to make a few brief comments on the BSA/AML enforcement actions and how we are moving the company forward. With a little over 10 weeks remaining in 2016, it is becoming increasingly likely that the enforcement actions will remain as we move into 2017. We continue to make progress on our remediation efforts and emerging from the BSA/AML enforcement actions remains a priority for us. In the meantime, we continue to move this organization forward in other ways. We are focusing on organically growing the company, simplifying our corporate structure, and enhancing our processes while controlling costs. At this point I would like to turn the call over to Pat to discuss our financial performance in more detail. Pat?
Pat Barrett : Thanks Phil and good morning everyone on the call. Starting on Slide 4, earnings per diluted share this quarter were $0.24 on net income of $41.5 million, an increase of 4.3%. Third quarter earnings reflect the improvements in net interest income, non-interest income, and non-interest expense, partially offset by a modest increase in provision for credit losses. Moving to Slide 5. We also had a modest increase in net interest income, driven by earning asset growth and an additional day in the quarter, partially offset by the impact of a six basis point decline in the net interest margin. This was driven by lower yields on interest earning assets as the cost of interest bearing liabilities was unchanged. Yield on interest earning asset declined by six basis point from the second quarter primarily driven by a five basis point decline point decline in loan yields, reflecting both the impact of lower yields on new originations as well as lower loan fees. This was combined with the seasonal impact of higher liquidity from municipal deposit input. Turning to credit on Slide 6, we reported a $4.1 million provision for credit losses, $1.6 million higher than the provision in the second quarter. The allowance for loan losses was essentially flat linked quarter at $165 million as the loan loss provision matched net charge-offs. The increase in the loan loss provision was due to growth in the loan portfolio. Net charge-offs at 11 basis point were relatively flat. Certain other credit metrics ticked up modestly. These increases were largely driven by a single $30 million credit that deteriorated during the quarter. Absent this deterioration, these metrics would have been relatively flat linked quarter. Moving to Slide 7, non-interest income, excluding securities gains, increased 4.5%, reflecting higher commercial loan interest rate swap fees as well as higher mortgage banking income, SBA sale gains and service charges on deposits. Our commercial loan interest rate swap business continues to benefit from growth in commercial loans and more dedicated resources. Fee income from this business increased over 50% linked quarter and 100% year-over-year. Mortgage banking income increased $632,000 from the second quarter. Sales gains increased $420,000 due mainly to higher volumes of new loan commitments, while servicing income increased $215,000. Excluding the impact of the mortgage servicing right impairment charges in both the second and third quarters, servicing income declined modestly. In comparison to the third quarter of 2015, non-interest income, excluding securities gain, grew11.9%, reflecting increases in commercial swap fees, mortgage banking income and SBA loan and sales gains. Moving to Slide 8, non-interest expenses decreased 1.5% due to lower FDIC insurance expense, data processing and professional fees, partially offset by net increases in salaries and benefits, other real estate owned and repossession expense and other outside services. In comparison to the third quarter of 2015, non-interest expenses decreased 4%, mainly driven by the $5.6 million loss on redemption of trust preferred securities we incurred in 2015. Excluding that loss, non-interest expense was relatively flat, with decreases in other outside services and FDIC insurance expense being offset by increases in salaries and benefits and occupancy. Income tax expense was 7.5% higher than the second quarter, with the effective tax rate increasing to 24%, in line with our expectations. We expect our effective tax rate to continue in the low to mid 20% range in the fourth quarter. Turning to Slide 9, overall BSA/AML costs improved modestly from both the prior quarter and year. We continue to expect that outside services costs will shrink meaningfully over time, but likely remain elevated in the near turn. I should note that we combined outside services and temporary re-staffing expense on this slide compared to the prior quarter to simplify the presentation of third party expenses. The label on the 2015 bar should read $5.9 million rather than $4.5 million. Slide 10 displays our profitability and capital levels over the past five quarters. ROA and ROE both improved in the third quarter, driven mainly by higher earnings, while capital levels remained healthy and stable. In conclusion, we’ve included on Slide 11 a summary of our outlook which remains unchanged from June 30. Now we’ll turn the call over to the operator for questions.
Operator: [Operator instructions] We’ll start with our first question from Frank Schiraldi with Sandler O'Neill.
Frank Schiraldi: Just a couple of questions. First I wanted to ask on the SBA business. Could you guys just summarize where you -- I know it's to ramp-up in the back half of this year, so just wondering how much ramp-up is taking place, where that is in terms of supporting revenue and income, and if that could accelerate again into the fourth quarter?
Phil Wenger: Morning Frank, it’s Phil. So I think in the first quarter our SBA fee income was pretty nominal. Second quarter it was in the $250,000 range. Third quarter we’re about $550,000 and we anticipate that going to $750,000 probably in the fourth quarter in that range.
Frank Schiraldi: Okay. Appreciate that. Thank you. And then secondly, just wondered if you could give any more detail, Pat, on that $13 million credit you indicated, moved NPAs higher just in terms of type of collateral, industry. Any color you can provide there would be helpful.
Pat Barrett : Yeah, I’ll defer to Phil to talk about that one.
Phil Wenger: So we believe were fully collateralized and it was -- it’s a C&I credit. I think that’s pretty much the information we’d like to provide.
Frank Schiraldi: Okay. And then I guess just finally on loan growth, I think in the past you've indicated that it's a 50/50 split in terms of growth being provided by increased demand. I think you said this last quarter actually, 50/50 split in terms of increased demand and dislocation on the market. Is that still a fair assessment? If you look at or you think about demand out there versus this location, what's the bigger, if there is one, driver of growth in this quarter and going forward?
Phil Wenger: So I think that percentage is still holding. We are seeing -- we did see C&I demand go down a little in the third quarter. I think that’s kind of what a lot of people are experiencing.
Frank Schiraldi: Sure. That’s consistent with [H]. Okay, great. Thank you.
Operator: Our next questions comes from Kevin Fitzsimmons with the Hovde Group
Kevin Fitzsimmons: Hey, it's Hovde Group. How are you guys?
Phil Wenger: Good. How are you?
Kevin Fitzsimmons: Good. Wanted to just follow on to the loan growth question a bit more. So can you give any color on what your -- whether it's increasing or consistent, the market share gain opportunity from the few large deals that you've seen in your footprint by an out of region player over the last few years and how that is playing out? Whether it's in line with your expectations, whether there's more to come. And then on that same topic, if you could touch on the commercial real estate regulatory thresholds on, I believe it's not an issue for you-all, but is it -- are you finding it as any opportunity? In other words, are there commercial real estate heavy banks in your footprint that are retrenching and maybe pricing or opportunities are looking appealing to you?
Phil Wenger: Yeah. So on the commercial real estate side, I would say that there is some less competition and pricing I think has stabilized and perhaps increased some. On the thresholds, we’re fine. And the first part of your question, Kevin.
Kevin Fitzsimmons: Was about market share gains from those few large deals.
Phil Wenger: So as we look at our backlog, we’ve been experiencing an opportunity for market disruption and as we look at our backlog going into the fourth quarter, I think the percent of our backlog remains about the same when we look at what’s coming from market disruption. So we believe it will continue at least in the short term.
Kevin Fitzsimmons: Okay, great. And one quick follow-up on -- I know there's not much specifically you can say on the BSA issues other than what you've said. But can I ask if -- when you talk about the progress, is it more event driven at this point? In other words, are there -- basically there are I would assume examinations scheduled for the sub banks and it's a matter of waiting for those to take place and get the results. Or is it more of an evolving waiting for them to sift through all the progress you've demonstrated to them? And again, I know you're dealing with different regulators with different timetables, but is it more an evolving thing or is it more of a waiting for these things on the calendar to occur?
Phil Wenger: Kevin, I would say it’s both. So we continue to make improvements and we’re certainly subject to the schedules that are set by the regulators.
Kevin Fitzsimmons: Okay. All right, great, guys. Thanks.
Operator: Our next questions come from Chris McGratty with KBW.
Chris McGratty: Hey good morning. Thanks for taking the question.
Phil Wenger: Good morning, Chris.
Chris McGratty: Good morning, Phil. The C&I softness that you talked about with the seasonal was obviously a player in the third quarter. But if I look year to date, residential mortgage and commercial real estate have driven the lion's share of the net growth. I'm wondering if that's more the reason that the margin guidance is still down or is there other environmental factors? Maybe some color here on the mix of earnings assets, and then direction of the margin.
Pat Barrett : Hey Chris, this is Pat. So yes, you’re right about the actual shift in the mix, but the one thing we are seeing whether it’s C&I or CRE is a continued shift away from fix into floating. That trend probably is affected by the mix shift. Certainly from a resi perspective, the popularity of jumbo product is very much 15-year fixed. But as a percentage of total, it hasn’t had a huge impact on originations because those remain at historically low levels as well.
Chris McGratty: Okay. And maybe, Pat while I have you, the LIBOR move in the quarter, can you just remind us the exposure to one month and 3 month, and whether there was any benefit in the quarter?
Pat Barrett: Sure. So we’ve got at the total loan book, about 80% is non-fixed. Of that 10 billion or so, 40% is LIBOR, the rest being prime, I think $4 billion. And we’ve got about $2.5 billion of exposure within that 4 to LIBOR either on the swap curve or the one and two month.
Chris McGratty: Okay. Great.
Pat Barrett : It was not a meaningful impact though on the quarter on our NII.
Chris McGratty: Got it. Great. Maybe last one on the FDIC insurance. It came down. We’ve seen other banks this quarter that number has gone up. Is that a sustainable number or should we be thinking about going back to where we were last quarter for the FDIC insurance?
Pat Barrett : It is for a couple of quarters. We’ll see this kind of run rate, we were at -- let’s call it $3.2 million a quarter overall, pretty steadily historically, and that’s dropped down to about $1.9 million. That will continue for the fourth quarter and the first quarter, but then it will tick back up again. We’ll get back about 60% of that savings because Fulton Bank is over $10 billion. So we really just benefited from Fulton Bank because it went up to $10 billion early this year. But you have a four quarter average before you get to the large bank premium schedule. So it will be the same run rate for the next 2 quarters, then it will gradually increase. Once we consolidate all the banks, which over time we will return back to approximately the run rates that we’ve been experiencing of around 3.2 a quarter.
Chris McGratty: Great. And maybe I could ask one more. The evolution of the BSA, once that comes off, you guys have talked both about charter collapse and you've also talked about potentially doing deals. Obviously you're a few quarters away or a few months away. Is there a preference on when that occurs, what the shift or what the pivot will be strategically?
Phil Wenger: The charter consolidation will begin as soon as we can and we’ll do one bank at a time, so if when we are allowed and a strategic acquisition develops, we can delay the consolidation, but I would anticipate that we will begin it immediately or as quickly as we can and then complete it. If a strategic acquisition doesn’t develop or if it does, we can delay.
Chris McGratty: Great. Thanks a lot for taking the question.
Operator: Our next question comes from Joe Gladue, Gladue with Merion Capital Group.
Joe Gladue: Good morning. I think most of the stuff I was interested in has been answered, but wanted to touch on a few of the other expense categories. You had some noticeable declines in professional services as well as data processing fees, and wondering if, again, if those declines are sustainable and what's driving them.
Pat Barrett: Hey Joe, this is Pat. So I’ll take those in reverse order. So the DP reduction was meaningful this quarter, and it’ll probably be choppy and volatile certainly based on volume. But these are largely major technology contracts that don’t come due every year and every quarter. We are working hard to re-negotiate these for more favorable terms so we’re able to benefit from that this quarter. But that doesn’t necessarily mean that next quarter or the quarter after we won’t re-negotiate one that’s been in place for 10 years and have a higher rate on that. So we are going to work hard to sustain the level that we’ve dropped to, but I just wanted to highlight that, that it’s not necessarily as simple as yes, it’s sustainable.
Joe Gladue: Okay. Fair enough.
Pat Barrett: On professional services, that can be pretty volatile quarter to quarter, but I guess I’d tell you that if you look at the run rate that we’ve seen year to date or the run rate from last year full year, I think that’s maybe around $2.1 million a quarter, then that would be a good run rate to use. We are not going to try to give guidance on intra-quarter volatility based on timing and billings.
Joe Gladue: All right. That's it for me. Thanks.
Operator: Our next question comes from Matthew Keating with Barclays.
Matthew Keating: Yes, good morning. I was hoping you could help me with net interest margin trends. So obviously, you gave the guidance without rate hikes. Maybe if you could just quantify what impact the 25 basis point move in rates in December of this year might have on the bank's 2017 net interest margin? Thanks.
Pat Barrett: Hey Matt, this is Pat. So just general rule of thumb, we benefit by about $6 million of pre-tax NII on a full year run rate basis for every 25 basis points.
Matthew Keating: That's helpful. Thank you. Also I'd like to just ask about the performance at the bank by various geographies in the quarter, maybe both from a loan growth perspective and from a return on assets perspective. What are you seeing in the various markets in the last quarter? Thanks.
Phil Wenger: So Matt, the loan growth primarily came in our Pennsylvania and Maryland market and I don’t have the specific ROAs for the banks in front of me.
Matthew Keating: Is New Jersey still a market where profitability is below average relative to the group overall?
Phil Wenger: New Jersey would be below average, yes.
Matthew Keating: Okay. Can you can talk -- you mentioned obviously about the hiring this quarter of a Philadelphia market president. Can you size the bank's Philadelphia business so in Philadelphia and in southeastern Pennsylvania at this point? And maybe talk about the potential opportunity you see, at least on an organic basis for the bank over the intermediate term in growing that business?
Phil Wenger: Specifically in Philadelphia we’d be close to zero and we’d anticipate our move into Philadelphia to be an area that will provide growth for us.
Matthew Keating: Okay. So how many people are under that Philadelphia president market structure at this point?
Phil Wenger: So currently we have just one person that we hired who is in the market to hire additional lenders. And we now have 2 mortgage originators in Philadelphia.
Matthew Keating: Okay, great. Thanks very much. Appreciate it.
Operator: [Operator instructions]. Okay, I’m sorry. It actually looks like we have no more time for questions. I’ll turn the call back over to our speakers for closing remarks.
Phil Wenger: Thank you all for joining us today. We hope you’ll be able to be with us when we discuss fourth quarter results in January.
Operator: That does conclude today’s call. We appreciate your participation.